Operator: Welcome to the Fourth Quarter 2015 Service Corporation International Earnings Conference Call. My name is Hilda and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to the SCI management team.
Debbie Young: Good morning. This is Debbie Young from Investor Relations at SCI. Thanks for joining us today. As customary, let me being our call with the Safe Harbor statement. The comments made by our management team today will include statements that are not historical and are forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, those factors identified in our press release and in our filings with the SEC that are available on our website. In today’s comments we may also refer to certain non-GAAP measurements such as normalized EPS, adjusted operating cash flow and free cash flow. Reconciliation of these measurements to the appropriate measures calculated in accordance with GAAP is provided on our website and in our press release and 8-K that were filed yesterday. So now let’s begin with comments from SCI’s, Chairman and CEO, Tom Ryan.
Tom Ryan: Thank you, Debbie, and good morning, everyone, and thank you for joining us on the call today. I’d like to start this earnings call by reflecting on some of our major accomplishments in 2015. Then I will get into the details of the quarter and end with some color on our outlook for the year 2016. So, first, some observations on 2015. First and foremost, I'm most proud of what we do for our client families each and every day, providing piece of mind and making their worst day just a little bit better. There are also milestones as a public company that we should be proud of and these are few I would like to highlight. First, while maintaining our position as the largest by-far in our industry with 16% market share and $3 billion in revenues. We were able to grow earnings per share again in 2015 to $1.18 per share which translates to an impressive 16% annualized rate since 2011. We also reported record adjusted operating cash flow of approximately $514 million for the year and deployed $433 million to return to our shareholders through share buybacks and an increasing dividend. We continued our momentum in preneed cemetery sales by growing them over 12% for the year and at a compounded double digit rate over the last five years. We also received the prestigious J.D. Power President's Award in recognition of our high quality service to our customers. One of only 12 recipients in J.D. Power’s 47 year history scoring with the likes of Ritz Carlton in customer satisfaction and loyalty. And finally, for our shareholders, we delivered a 17% total shareholder return versus a flat S&P for the 2015. And now we’ve delivered a significant premium to the S&P return for the one, three-, five- and ten year periods ending in 2015. So I would like to say thank you to my 2,400 teammates to continue to work tirelessly to serve and support our families at the greatest time of need. It is because of your efforts everyday that we are able to accomplish what we have. Now let’s shift to an overview of the fourth quarter. We reported normalized earnings per share of $0.37, which was consistent with the prior year period and within the guidance range provided to you back in October of $0.36 to $0.39. Adjusting for the $0.04 prior year perpetual care benefit, earnings per share grew approximately 12% despite headwinds of lower funeral volume impacted by a mild comparative flu season, the negative impact of Canadian currency, and lower trust fund income due to the volatility in the financial markets. These headwinds were more than overcome by strong preneed cemetery sales product, the impact of our share repurchase program and the lower tax rate. On the cash flow front, we generated $89 million in adjusted operating cash flow, which again was well within our guidance range despite expected higher cash tax payments of $22 million year-over-year. Now for an overview of funeral operations in the quarter. When compared to the prior year, our fourth quarter comparable funeral revenues decreased by $11.1 million or 2.4%. This is below our expectations as lower funeral volumes, negative currency trends and lower trust fund income put pressure on our funeral revenues. As noted in the press release, poor revenues declined $19 million or 4.7%. A comparable funeral volume decline of 4.2% was the primary reason. As far as core funeral average goes, we experienced a 1.2% growth at the customer level. However, revenues in average were negatively affected by $5.3 million as a result of the Canadian dollar trading at $0.75 versus the prior year at $0.88, as well as a $2.6 million negative impact from lower trust fund income and an 80 basis point increase in the cremation mix. Outside of core revenues, we saw increases from SCI-Direct of approximately $3.4 million or 13.1% as non-funeral home matured preneed volume or performance of funeral services, increased over 7%, and recognized preneed sales of earns in travel protection increased $3.2 million or almost 16%. Other revenue grew $4.5 million or 13.2%, which primarily consist of general agency commission earned from preneed insurance sales production. Funeral profit, therefore, decreased $8.8 million from the prior year quarter and margins were 20% compared to 21.4% in the fourth quarter of 2014. Core profit declines were partially offset by increased profits from SCI-Direct and general agency commission. Comparable preneed funeral sales production excluding terminally imminent transactions in both periods was essentially flat or down about $1 million. Keep in mind, we were facing a very difficult comparison as the prior year quarter growth rate was nearly 12%. For the full year, preneed funeral sales production increased $24 million or 3.4%. This is consistent with our annual guidance of low to mid-single digit growth. Now let’s turn to cemetery operations. Overall, comparable cemetery results was the highlight of the quarter as operating performance was ahead of our expectations. Comparable core cemetery revenue grew $15.2 million or 5.9% in the fourth quarter due to higher recognized preneed revenue, which was reduced by lower atneed revenue and the negative effects of Canadian currency. Preneed sales production was the primary driver as they grew by $12.1 million or 6.8% through increases in both average customer spend, as well as increased sales contract velocity. Additionally, revenue associated with the completion of construction projects, which from a seasonal perspective tend to be more pronounced in the fourth quarter contributed the balance of the core revenue increase. Other revenue declined $17.2 million primarily as a result of the $15 million perpetual care trust fund income benefit reported in the prior year. Additionally, our normal trust fund income declined $2.2 million due to unfavorable market returns. Therefore, comparable cemetery profits decreased $8.6 million as the $15 million perpetual care trust income benefit reported in the prior year was 100% profit. Excluding that unique item, cemetery gross profit grew $6.4 million and margins increased 70 basis points to 31.5%. This growth resulted from the $15.2 million core revenue increase, which should produce 60% incremental margin, or approximately $9 million. This increase was partially reduced by $2.2 million in normalized trust fund income. Now shifting to our 2016 outlook. As we disclosed in our prerelease, we are providing 2016 earnings per share guidance in the range of $1.20 to $1.36. Since we provided preliminary guidance to you back in October, we’ve continued to see negative financial market returns as well as a weaker Canadian dollar as we are not in the business of predicting the future for the stock market or currency movements for that matter, rather than moving the entire range down from our previous guidance below the bottom of the range by $0.04. At the midpoint of our range, expectations for growth in 2016 still falls within the 8% to 12% range even after considering these headwinds and a slightly higher tax rate. While we do not provide quarterly guidance, from a timing perspective, please keep in mind that we had a very strong flu season in the first quarter last year, up almost 5% in funeral volume and had a 17% growth in preneed cemetery sales production. So it is going to be a very tough comparison this year under any scenario. This January, we saw decline in funeral volume of over 12% which was consistent with what we saw in our market share checks and in conversations with other industry participants. Therefore, the first quarter should be a challenging comparison. After that, we would expect to get back to traditional earnings per share growth trends for the remainder of 2016. For the year, we expect funeral volumes to be down slightly with a slight growth in core funeral average excluding currency, mix and trust income. We expect SCI Direct to go high single digits and general agency commissions to grow in the mid single digits, and we will manage our cost aggressively. We also expect to grow preneed funeral sales in the low to mid single digit percentage range. On the cemetery side of things, we anticipate revenues will continue to increase led by preneed sales production growth in the mid to high single digit percentage range. So in conclusion, we expect continued growth of the business around the assumption that demographics are moving towards us. We will continue our strategy of growing revenues are remaining relevant and driving preneed sales now and into the future. We will continue to leverage scale differentially through our sales organization, through supply chain and technology, and through our preneed trust and insurance backlog. Finally, we will continue to deploy capital towards the [indiscernible] like growing through acquisition and new builds, increasing our dividend and shrinking the equity base in anticipation of the demographic impact come. All the while, we will protect this great company by maintaining a fortress balance sheet, carefully managing both our liquidity and trajectory profile. This concludes my prepared comments and I’ll now turn the call over to Eric.
Eric Tanzberger: Thank you, Tom, and thank you everybody for joining us this morning. And before I dive too deep into the details, I want to stay back up at 2015 full year versus 2014 and just really reiterate how proud we are of our financial results for the full year of 2015. And of course I’d like to thank our nearly 24,000 both dedicated and talented associates that really drove this outstanding performance throughout 2015. So this morning, I’m going to be addressing our annual cash flow results as well as the capital deployment that we did in 2015. I also want to talk about our cash flow in the quarter and I also want to give you some more color and some comments related to cash flow for our outlook for 2016. So first, let me start by taking an opportunity to again step back and reiterate our capital deployment philosophy. We’ve been executing this for the past several years. So to begin, our consistent and predictable cash flows from all of the basis of our overall strategy to drive increased value for our shareholders. Looking at 2015, we generated $514 million and adjusting operating cash flow which by the way is the highest we have achieved in many, many years. Complementing this strong operating cash flow base, we maintain robust liquidity and we manage our near term debt maturities. So with those factors at the backdrop, we then deployed capital to achieve the highest relative total shareholder return through our choices of acquisitions, growth CapEx, dividends and share repurchases, and the results have been impressive. For the five years ended December 31, 2015, we have achieved about 245% total shareholder return when you compare to the S&P 500 of about 80%, and you can be assure that we intend to keep our focus on growing the value of your investment in SCI over time. So with that backdrop, let me give you an overview of our cash flows for the full year of 2015 and then dive into the capital deployment that I just said. So as I just mentioned, in 2015, we generated $514 million in adjusting operating cash flows compared to $509 million in 2014. But to really give you a more accurate picture of these 2015 cash flows, I really need to highlight a couple of items when you compare to 2014. First, we paid $51 million more of recurring cash taxes during 2015 compared to 2014 as again we moved closer to become a full cash tax payer. Secondly, we benefited from approximately $27 million of operating cash flows in 2014 that were associated with the FTC divestitures that we have previously mentioned. So when you really normalize those two items, I think of adjusting operating cash flow in 2014 of being about $431 million versus the $514 million in 2015 which by the way is a growth of over 19% and the drivers of the cash flow growth of predominantly the higher earnings that Tom just described and higher cash receipts primarily associated with strong preneed cemetery sales. So we also finished 2015 with healthy liquidity of $335 million which consisted of $135 million of cash on hand that you’ve seen on our balance sheet and about $200 million of availability on our longer term credit facility. This strong liquidity through 2015 positioned us well to deploy a healthy amount of capital towards what I’ve already mentioned acquisitions, dividends, and share repurchases. And in fact when you include some 1031 exchange funds, we deployed $69 million in acquisitions in 2015 which reflects a 176% increase over the $25 million that we invested in acquisitions in the prior year. Dividend payments in 2015 totaled about $88 million, again an increase of over 22% compared to 2014 payments of just over $70 million. We also returned $345 million of capital to investors in 2015 in the form of share repurchases which is the largest annual amount we have repurchased since 2007. So in total, $433 million in capital was returned in 2015 to our shareholders through these combined share repurchases and dividends which by the way is 37% or $180 million more than 2014 levels. So now let’s shift gears and talk a little bit about cash flow during the quarter. We generated $89 million of adjusted operating cash flow in the fourth quarter which was well within our guidance range communicated to you in October which was $75 million to $100 million. Similar to the full year though, let me provide a bit more color on these cash flows for the fourth quarter. First, our recurring cash tax payments were $22 million higher in the fourth quarter of 2015 versus the fourth quarter of 2014. And in addition to this $22 million as a side note, we also paid about $10 million in non-recurring cash taxes which was associated with the restructuring of some of our legal entities. Secondly during the quarter though we also funded about $12 million more in payroll quarter-over-quarter which is really just the timing difference due to the timing of the New Year’s holiday this year versus last year. Lastly, when you think of the quarters, also I want to address two cash flow items that are similar amounts that really occur to both quarters. If you remember in the fourth quarter of 2014, we received $15 million of perpetual care trust capital gains that did have a corresponding earnings impact that Tom just mentioned earlier. In the fourth quarter of 2015 though, we also received a similar amount of $15 million but will firm our cemetery merchandise and service trust capital gains and those will not have an earnings impact until at the time we deliver or perform that underlying merchandise and services on those preneed contracts. So now let’s shift to talk about 2016. As you saw yesterday in our press release, we’ve finalized our guidance for 2016 to generate a solid $450 million to $500 million of adjusted operating cash flows. Our range has slightly decreased due to the acceleration of a $50 million of cemetery MSC capital gains that was received in the fourth quarter of 2015 that I just mentioned. And just, our models previously reflected that receipt of those funds in the first quarter of 2016. We also turf when you think of our guidance a more measured approach to our expectations from normal trust related capital gain distributions due to the recent market conditions. While we expect to pay more in cash taxes in 2016 over 2015, the good news is that our expectations for these cash tax payments in 2016 have now been lowered to approximately $140 million which compares to $160 million from our previous guidance that we disclosed to you last quarter and that’s primarily driven by further tax plan. Our expectations for maintenance and cemetery development capital spending in 2016 are approximately $150 million. This is slightly higher than 2015 levels as we continue to improve the aesthetics of our funeral businesses and most importantly reinvest in our cemetery businesses by constructing relevant and contemporary cemetery property inventory. So when you deduct that CapEx from the operating cash flow, our guidance for normalized free cash flow in 2016 is a range of $300 million to $350 million. This does compare to free cash flow of $372 million in 2015, so the primary cause for the year-over-year variance is associated with the increase in cash tax payments in 2016 versus 2015 which is an increase of about $47 million. Additionally, we are expecting a greater use of preneed working capital as our cemetery preneed property installment sales continue to experience robust growth. So in conclusion, 2015 was a great year for us as we have generated very robust free cash flow and when I look forward to 2016, we expect to repeat the consistent capital deployment philosophy which we executed in both 2014 and 2015. We of course will continue to maintain adequate liquidity of beneficial near term debt maturity profile and think of our leverage range of about 3.25 to just below 4 times. So we will continue then to deploy that free cash flow towards acquisitions, dividends and share repurchases. And in fact since closing on the Stewart acquisition in December 2013, we have repurchased almost 25 million shares for a total investment of just over $600 million, which includes by the way 1 million shares we have repurchased subsequent to the end of 2015 for just under $25 million. Currently today, we have just under $195 million shares outstanding and about $255 million of remaining share repurchase authorization which again gives us substantial amount of capital deployment flexibility as we move forward in 2016. Ultimately though we will continue our balanced approach to driving shareholder value by focusing on deploying that capital to the highest relative value opportunity, and again this has been our track record and you can expect us to continue this value enhancement approach well into the future. So with that operator, that concludes my remarks and Tom’s prepared remarks, and we’re going to go ahead and shift the call now over to take questions from the investors.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] We have a question from Scott Schneeberger from Oppenheimer. Please go ahead.
Scott Schneeberger: Thanks. Good morning everybody. I guess first question, I’d like to start off with would be the trust funds. Have you had conversations with the investment managers about how they are positioning given the volatility in the equity market share to date? And then just some thoughts about how that maybe impacting – obviously you’ve adjusted guidance the low end a little bit for 2016, how you’re thinking about the cadence of impact of the equity markets as you move through the year? What’s implied in guidance as far as what’s your prior expectation was still now? Thanks.
Eric Tanzberger: Scott, the way we are set up is, we interact almost daily with our registered investment advisor. We do talk to our trustees and periodically we do have meetings, we probably have 25-ish professional institutional money managers and we do have several conversations during the quarter just to further our understanding, but in no way are we influenced in that. We believe in our asset allocation over the long term it is worth for us successfully as we’ve had generated a real return of about just over 3%. I’ll call it over the last trailing 10 years and that’s additional earnings and cash flow to us in the future, and we’re going to maintain that discipline. Now, talking about the guidance in terms of what you’re referring to, yes, we did bring down the low end of our guidance as it relates to some of the performance that we saw subsequent to the last time we talked to you in October. So when we talk to you in October, the trust funds are off about 1% year-to-date. They ended the year down 1%, so we had that swing primarily in the month of December. Since then in January, our trust funds are about down 3% and ultimately to recall the metric that we try to give for every one percent or so that are trust funds drop, on an annualized basis and again as a very general statement it equates about $1.5 million of EBITDA. So, but we don’t want to get into this game of trying to predict of what we think the markets are going to do. So, generally yes we’ve taken down the low end of the guidance, but we didn’t want to infer that we wouldn’t come back during the year either and that’s why we maintain that high-end of the guidance, but ultimately we have this plugged in where we do think that our standard way of modeling, which is the markets would generally be flat to slightly up is what’s built in to the mid-point of our models in our guidance.
Scott Schneeberger: Great, thanks. That’s helpful. As a follow-up, I would like to ask, obviously you have some nice momentum in preneed sales and cemetery, I’m curious how you think about that, as well as funeral in an economy that might be uncertain where consumer confidence might be uncertain, it is after all discretionary spend, but maybe some anecdotal history as to your confidence on why that would hand in, in this environment what you have seen in the past and what would lead you to such conclusion? Thanks.
Tom Ryan: Sure, Scott, this is Tom. I think based upon historical observation when you go back to 2008, 2009 when the world looked like it was going to end and the markets were down 30% and 40%, we did see a temporary pause in pre-arrangement and it probably lasted three or four months and really lasted through March of 2009 and I must admit surprisingly to me it bounced back pretty dramatically beginning in April. And so I think the conclusion we had is that this is probably the least volatile discretionary purchase you could have in the sense that it’s a planning item that people want to resolve. So, even in bad times, I think people try to find a way to deal with this, so there is an added pressure on their survivors. So, I think, generally you are going to find people stand pretty attentive from a contract flow perspective. What I will say, when there is financial uncertainty or down markets is you do tend to see the high end drive a bit. So, as an example we even saw some of the fourth quarter, we did not see the same robust level of what I called high value sales on the cemetery side that we did in the fourth quarter of last year. So, I do think it’s more sensitive at the high end as far as what people are willing to spend, but relative to other discretionary businesses I like our odds.
Scott Schneeberger: Alright, thanks. If I could sneak one more in and then I would turn it over. Could you speak to the M&A environment right now, you gave some color on the call about 2015 versus 2014, what are the thoughts as we enter 2016 and what are you seeing out there with regard to the targets susceptibility or openness to talk, thanks.
Tom Ryan: Yeah, I think we are seeing a healthy level of openness to talk, you know we’ve got a few under letter of intent as we speak today, we got a couple other in negotiating stage, so I’d say that we feel really good about the activity level. You know the way that we try to do it is to maintain relationships with businesses that we’re attracted to that’s predominantly what we are doing. And these are going to turn when it is time for them. And so generally there is a transition from an owner to the children or something like that where that is and what’s going to work for that family and we want to be in a position to understand the opportunity SCI presents to their employees then themselves and staying involved. So most of the time that is what it is, we do see a few broker deals as well, but we feel really good about what we’re seeing and therefore pretty comfortable with the guidance that we put out there as to what we think will be able to accomplish this year.
Scott Schneeberger: Okay thanks, I will turn over.
Operator: The next question comes from Chris Rigg from Susquehanna. Please go ahead.
Chris Rigg: Hi good morning. Just wanted to follow-up on the operating cash flow guidance change, you know, obviously you had the pull forward of some of the trust income into the fourth quarter that seems like there was a substantial if not entirely offset by lower cash taxes. So, when we think about what’s causing the 25 million [indiscernible] I know you laid out a bunch of items, can you help us quantify or at least sort of force rank what’s causing the biggest impact versus the least impact? Thanks.
Eric Tanzberger: I think, generally Chris we expect to continue to have robust preneed cemetery property sales. And for the most part those will be sold on an installment basis and as we grow I think that creates as you recognize that revenue under our counting as you know after 10% down and is constructed. That creates a use of cash because you are recognizing revenue today and installment sales is going to come in over the next three to five years, it is the way I would describe it. I would also talk about that there is some normalized level and each state is complex and each state is different under these Trust bonds. As a general statement there is a normal amount of, let’s call it $10 million to $20 million of capital gain distributions that we get from these trustees based on the performance of the trust funds. And I think we also obviously is what I was trying to say as we’ve taken those down as well. We’ve also continued to drive some sources in working capital related to days sales outstanding and as you start squeezing it down there is only so much you could do as well and so those, all those factors Chris were kind of taken into account, as well as the $15 million that was pulled forward to the fourth quarter 2015 when we talked about the general guidance of $450 million to $500 million.
Chris Rigg: Okay. And then just on the volume outlook, I think, unless I missed you just said low single digits, which I think is, I think you were down 1% to 2% in the guidance from last fall, has there been any change to that outlook today?
Tom Ryan: Yeah Chris, this is Tom. So, we saw as you heard in my comments January was not a pretty volume up, down some [20%]. We still feel comfortable about the low single digit guidance for the year and let me explain a couple of reasons why. Number one, just to give you a more color on January we have a new market share tracking capability in certain markets. So we are looking at that and we are again seeing market share trends the same. Our volume in SCI Direct was down 10%. This is a business that tends to grow. So, again we know [indiscernible] we talked to suppliers and so we feel very comfortable that this is a market phenomenon that occurred in January. So to give you a little history, in 2014 volume was down 11% for SCI. We finished the year down 2%. Go back to 2012, volume was down some 4.5%, we finished the year flat. So, I think what we see, I would like to go further back in history as we look at these things we tend to gain back some of that loss throughout the year typically in the back half of the year as you begin to enter the next comparison. So, we feel pretty good and we are still modeling like you said, a little deterioration in the annual but not a lot, because we think most of it comes back as the year progresses.
Chris Rigg: Okay great. Thanks a lot.
Tom Ryan: Okay.
Operator: We have a question from A.J. Rice from UBS. Please go ahead.
A.J. Rice: Hi everybody. I know usually your biggest swing factor in your EPS range would be the, I think I would say the uncertainty around what the volumes are going to be and I guess today you are introducing as well given the volatility of the market, the Trust funds, are there any other big items that swing you around in your range, or are those really the two drivers that will determine whether you get to the higher end or the lower end of the range?
Eric Tanzberger: Well I think from a revenue perspective you see FX having an impact A.J., but as you know as you drop it down at the bottom it is probably as impactful, or less impactful than the Trust fund side. So, really the other big number for us in my opinion is preneed cemetery sales. So, if that were for whatever reason not to grow or flat or go backwards that is going to have a pretty big impact on our numbers. So, we still feel good about that number, but I think the biggest one other than that you hit upon is going to be funeral volume. The other two are impactful, but I would say less impactful as you think about the volatility or order.
A.J. Rice: And just to come back on the preneed cemetery side, in light of the volatility and the market, little uncertainty on the economy clearly not what we saw in 2008, 2009, are you guys making any changes or adjustments to your compensation programs for your sales people to try to either maintain the strong results you are seeing or even potentially pick it up in-light of some soft volumes on the funeral side, is there anything you can do there?
Eric Tanzberger: I think not so much. We also tweak from time to time, but I don’t think January sales were as bad as they could have been expected to be and we really kind of maintain a posture with the sales force to really look at the long term of these things. So, we are not going to reactive, we feel good about our compensation programs. We feel good about the opportunities that are out there A.J., so, no. I wouldn’t say we are doing any kind of reactionary things, we are going to achieve our numbers, we feel good about that and so the short answer is no.
A.J. Rice: Right, okay. And then final question on the, thinking about the share repurchase, I know 18, 24 months ago there was a discussion about recap and other things you could do and I think the company went through the process and said, look we will stick with our netting and buyback with the free cash flow not going to hit that point lever the balance sheet up and I understand the comments today about maintain fortress like balance sheet, but it is with the market pull back, it sounds like you are going back to couple hundred million buyback mode absent some bigger deal coming down the pipe, is that the right way to think about it, or is there anything because of the pull back in the shares that you perceived that you will be able to present with an unusual opportunity and you might actually take on a little leverage to accelerate the buyback?
Tom Ryan: Well I think we will be, like the guidance says we want to maintain fortress balance sheet, we want to make sure we survive if things got really bad economically again outside the control of SCI. So, we will be aggressive within that realm. I don’t foresee us at this point in time changing our strategy as it relates to leverage on the company and any super aggressive way. Having said that you never say never, but in today’s environment I think we will be aggressive within the realm of maintaining that fortress balance sheet.
A.J. Rice: Okay. Alright, thanks a lot.
Tom Ryan: Okay.
Operator: [Operator Instructions] We have a question from Duncan Brown from Wells Fargo.
Duncan Brown: Hi good morning. Maybe going back to the outlook for preneed cemetery sales I think Tom you said bad years historically some of the high end of that business has been hit and maybe at risk, can you help us think about or quantify what percentage of preneed cemetery relates to the high end side of the business?
Tom Ryan: I don’t have the specific numbers in front of me, but to give an example of numbers of contract if I remember this right and Steve help me if I am wrong. [indiscernible] 130 is about the high end and it is over [indiscernible]. So, I think it is the high end the way to think about it is we will do, for instance last year’s fourth quarter you did 300 something high end sales of refunds, is that right, and this year we did 250. So, the fall off is call it 20% and the number of contracts above is $20,000?
Eric Tanzberger: $40,000.
Tom Ryan: So contact is about $40,000, quantify that as somewhere between 250 and 300 is thinking about those and so what you will tend to see is in these types of uncertainties you might see that drop off some 20%, 25% and you can quantify that number types of $40,000. So, it is in - by any strategy I don’t want to alarm you, this challenge is your ability to grow year-over-year I think is the way to model it. So, we believe we will continue to grow contract count because they go back to the fact that in certain times people tend to plan and the real issues gets around, can you get those over 40,000 or in some cases million dollar sales that just don’t happen when the stock markets go down 20% because people are waiting to see it bottom, but generally those are people that differ and make that purchase when things get better. So, we will manage through it.
Duncan Brown: Okay that is helpful and I appreciate the granularity and also appreciate the color on January volumes in the historical context, can you, I mean since you called that out, can you tell us what January 2015 volume were, where they up on outsized amount relative to Q1 2015, so they are a particularly difficult comp?
Tom Ryan: Yeah, January last year was up over 5%, 5.1% is my recollection of that. So, therefore as you could expect that was going to be a tough comp no matter what happens and so that is why I tried to, even thought we give quarterly guidance, Q1 is going to be tough on a comparable basis. But we feel really positive about the quarters afterwards that we can regain that moment of growing our earnings per share like you guys expect, but I do think we got to get our helmet on Q1 is not going to be a pretty comp, just won’t be.
Duncan Brown: Appreciate it.
Tom Ryan: Thanks.
Duncan Brown: And last one from me, I think historically you have talked about a 3.5 to 3.7 leverage target, sounds like maybe, I don’t want to put words in Eric’s mouth may be it sounded like just below 4 times, is there an official change in the leverage target or what should we leverage a range or how should we think about that?
Eric Tanzberger: I think it is just, you know what we’ve evolved and said is going to be around 3.75 as well and I was just trying to get color and make sure people understand our thought which is we really believe in this environment couples with liquidity and near term debt maturity profiles under control. This kind of stay below 4 times, it bumped up to and into the year about 3.8. I think some of the volume that we talked about in the back half of the quarter fell off towards December. Some of the financial markets, again [indiscernible] income sell off in December. So price bumped a little bit higher, but no philosophical change, Duncan I wouldn’t think of it that way. I just think when you start having point two of a range it is a little bit tougher and it is implying a sense of accuracy and it is probably not always there beauce we are we are such long terms thinkers in terms of guidance and such. So that is all I was trying to say.
Duncan Brown: Got it. Thank you.
Eric Tanzberger: Yeah.
Operator: We have a follow-up question from Chris Rigg from Susquehanna.
Chris Rigg: Thanks for taking me again here. Just a follow-up on a earlier question with regard to capital deployment broadly, you know the stock is down about 33% from its summer highs, does that change the way you guys think about buy backs versus M&A just giving the magnitude you got to sell off doesn’t seem to reflect the underlying performance of the business, thanks.
Eric Tanzberger: Yeah, definitely on a relative basis Chris, it is a good question. The stock becomes much more attractive, but I think the good news is we like to say about acquisitions from a long-term perspective and you think about our strategy of growing revenues through preneed about leveraging the scale of the business and then generating more cash to redeploy, acquisition always a near and dear part of our equation. And also if you think about the internal rates return they tend to get I would say most of our acquisitions are in the 14 to 15 type of IRR return and the stock even at these levels is a great return, but it is probably not that level of return. So, the acquisition is still probably pop-up number one, but from a timing perspective if we can get to low 20s we are going to - that's an opportunity for us.
Chris Rigg: Okay, thanks again.
Operator: Thank you and at this time I would like to turn the call back over to the SCI management.
Tom Ryan: Okay, we want to thank everybody for being on the call today. We appreciate your participation and we will look forward to speaking to you again on our first quarter results in April. Thanks so much.
Operator: Thank you. Ladies and gentlemen this concludes today’s conference. We thank you for your participation. You may now disconnect.